Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2014 Prestige Brands Holdings, Inc. Earnings Conference Call. My name is Shakwana, and I will be your coordinator for today. [Operator Instructions] I would now like to turn the presentation over to your host for today's call, Mr. Dean Siegal, Director of Investor Relations. Please proceed, sir.
Dean Siegal: Good morning, and welcome to our second quarter fiscal '14 conference call. As a reminder, there's a slide presentation, which accompanies this call. It could be accessed by visiting prestigebrands.com, clicking on the Investor link and then on the Q2 webcast link. I am required to remind you that during this call, statements may be made by management of their beliefs and expectations as to the company's future operating results. Statements of management's expectations of what might occur with respect to future operating results are what is known as forward-looking statements. All forward-looking statements involve risks and uncertainties, which, in many cases are beyond the control of the company and may cause actual results to differ materially from management's expectations. You are cautioned not to place undue reliance on these forward-looking statements, which speak only of the date of this conference call. A complete Safe Harbor disclosure appears on Page 2 of the presentation accompanying this call. And additional information concerning the factors that might cause actual results to differ from management's expectations is contained in the company's annual and quarterly reports, which is filed with the U.S. Securities and Exchange Commission. Now I'd like to introduce Matt Mannelly, CEO; and Ron Lombardi, CFO.
Matthew M. Mannelly: Thank you, Dean. Good morning, and thank you, everyone, for joining us. As Dean said, we'll be working off our investor presentation, which we provide every quarter. And if you go to Page 3 of that presentation, the agenda, I'll take you through some of the -- briefly, some of the performance highlights of the second quarter. Ron Lombardi, who's with us, our CFO, will then take you through a financial overview. I'll then come back with a little bit of an outlook for the remainder of the year, and then we'll open it up for some Q&A. So with that, if you would turn to Slide 4. So Slide 4, we've shown in the past, I think, I would just reiterate a couple of things. Our goal is to deliver shareholder value over the long term. We believe one of the key ways to do that is our cash flow and how that can help increase that shareholder value over the long term. We also pride ourselves on being a company that's product-driven, that's consumer-driven and that is driven to deliver innovative products and exceed consumers' expectations in the marketplace. And the final thing, I'll just add on this page, we've talked about in the past our culture in our company. We now have 160 employees, and our culture is really built on 4 pillars and that's leadership, trust, change and execution. And the reason I bring it up this morning is, I think we demonstrate that day in and day out. I think the most recent example of that is we've just had a very successful new installation and go live for our ERP system. And it was a great example of how 160 people pulled together to make that happen, and that's just another example of our culture in terms of leadership, trust, change and execution. So with that, if you'll turn to Slide 6. In terms of the performance highlights, I'll say just a couple of comments. First of all, we're very pleased with the second quarter outcome, obviously. Very strong financial performance in a very challenging retail environment. Our adjusted EPS of $0.47 is up almost 12% versus prior year. Our free cash flow remains very strong, delivering almost $33 million in cash flow from operations, and we've taken our leverage ratio down to about 4, which again, is quite significant on 2 fronts: Number one, it was only 1.5 years ago that we were at 5.25, so you can see what our cash flow does in terms of our ability to de-lever. And the second thing is, we did an acquisition this quarter, so to bring down our debt ratio while doing an acquisition, for us was very important as well. From a revenue standpoint, $168.4 million in revenue, we're quite pleased with, excluding Phazyme, on an apples-to-apples basis, that's up 5%. And if you take out the Care acquisition, it's still up 1.6%, again in a very challenging environment. And our gross margin remained fairly constant with last year at 56.8%. I think for us, it's important we continue to invest in building our brands. And our core OTC revenue was actually up 3.5% if you exclude the brands that we've discussed quite a bit in the last 6 months that were impacted by the return of the recalled competitive pediatric products. We continue to invest, increase in our A&P investment, and it's up almost 11%. We're doing that by investing in our core OTC brands, as well as new product development, and we are continuing to put solid support behind those pediatric brands that are experiencing returns from competitive products. We've also increased our advertising spending and we have terrific new campaigns for BC/Goody's and Clear Eyes in the marketplace today. And finally, the Care Pharma acquisition, which closed in early July, the integration has proceeded very well, very smoothly, very flawlessly, and the business is performing in line with our expectations. If you turn to Page 7, you'll see here in terms of our revenue growth across the portfolio, again, very strong performance across the entire portfolio. I said up 5%, excluding Phazyme, up 1.6% if you take Care out. Again, our core OTC was down 0.5 percentage point, but up 3.5 excluding the Pediatrics, and that was as we expected and candidly, it was better than we expected. Our non-core OTC up 4.5%, and our Household business for the quarter was actually up 8% versus prior year. If you turn to Page 8, the next couple of pages, I'll talk a little bit about the business and a couple of the brands we're very excited about. First of all, BC and Goody's, 2 of the brands that we purchased from GSK North America a little over a year ago. Goody's is a terrific brand that really has its heart in the South, as does BC. We introduced an innovative new form in terms of Goody's Headache Relief Shots. There's no other product like it in the marketplace, and we're quite pleased with the introduction, and we believe this is going to be something that's going to build over time and be quite successful in the marketplace. BC Cherry on the other hand, really what it does is it leverages the franchise, which is very solid in the South, and brings out a new flavor. And we not only bring out a new flavor, but we bring it out in a new delivery vehicle in terms of the stick pack. And again, with that introduction, that's off to a very strong start as well. You can see on the next page, on Page 9, in terms of BC Cherry, and really, Goody's Headache Relief -- Goody's as well, it's all about speed of pain relief. So our marketing is really built around speed of pain relief. You can see with BC, we aligned ourselves with the SEC. We've done quite a bit of sampling at the SEC schools in the fall. We also have developed retailer partners -- partnerships with some of our key retailers in the South, done -- we have -- you can see down there, a mobile marketing vehicle that we go around and do the sampling that also aids us in terms of gaining displays from our retailers in those areas. If you turn to Page 10, Goody's Headache Relief Shot, as I mentioned earlier, this is something that we're very excited about. And really, I just want to share with you, just over a week ago, on the 26th, was a big NASCAR race in Martinsville, and previously, with the Goody's 500, we renamed it the Goody's Headache Relief Shot 500 this year. It was on national TV. We did significant sampling. We got terrific signage. As importantly, we tied in with our retailers. If you look at the logo for the Goody's Headache Relief Shot 500, you'll see down there it was powered by Kroger. We did a pass-through rights to one of our key retailers, which allowed us to do displays in over 1,000 Kroger stores. So that's a good example of us leveraging our sports marketing assets. We also purchased national advertising on ESPN for the first time. And again, from a PR standpoint, we were quite successful. In terms of impressions from that race, as well as the PR and the Facebook and YouTube, we've gotten over 400 million impressions from that race. And in the upper right hand corner, we're excited was a promotion that we -- that started during that race, Dale Earnhardt Jr. Fastest Fan contest, and if you Google it, I think you'll find it quite entertaining, and it has received over 100,000 hits in the first week. So we're quite pleased with that. And the reason I point all this out is, this is a brand that we are very bullish on it for the long term. We've brought an innovative new product, and we're marketing in different ways than we've marketed in the past, in terms of connecting with the consumers. If you turn to Page 11, changing gears a little bit, talking about from a retailer standpoint. We talked a little bit in the past about C stores, and this is a channel of distribution that really is, is just starting to become a strength for us. And our acquisition of those GSK North America brands in 2012, for BC and Goody's in particular, have very, very strong distribution in the C store channel. And that channel has 147,000 outlets. So that strong equity in those 2 brands has allowed us to leverage other brands, and you'll see on the right the key brands that we've leveraged to date have been Clear Eyes, Dramamine and Luden's. And it's allowed us to gain distribution in a number of outlets within that channel. And in fact, those 5 core OTC brands in the C store channel were up almost 20% in the second quarter versus the prior year. If you turn to Page 12, you'll see some examples of our brands in those locations. I think it's not just C stores. If you look on the left, you'll see -- we got new distribution in places like Hudson News and Paradies in airports throughout the United States. We also have got new distribution in gas stations like Pilot Flying J. And finally, at the bottom, it's not just the traditional convenience stores, but we've also opened new distribution in a number of the college bookstores across the United States as well. With that, I'll turn it over to Ron, who'll take you through the financial overview.
Ronald M. Lombardi: Thanks, Matt, and good morning, everyone. We'll start the financial review with an overview of the second quarter results on Slide 14, if you'll turn to that page now. As a reminder, unless otherwise noted, financial information we are discussing today excludes acquisition-related and other items to arrive at adjusted results. Reconciliation between reported results and the adjusted results can be found in schedules included in today's earnings release. We're very pleased with our financial performance in the quarter, which continues to deliver against our long-term strategy during this transitional year. Results for the quarter included both solid revenue and EPS growth, along with consistent cash flow. I'll give you more detail on each of these items in the next few slides. Turning to Slide 15, we have our Q2 results. Net revenue grew approximately 5% in Q2 to $168.4 million, excluding the impact of the sale of Phazyme, which occurred last year. Organic net revenues grew $2.6 million or 1.6% over the prior year, excluding the impact of revenues from the acquisition of Care on July 1, and the sale of Phazyme last year. And our core OTC business grew a solid 3.5% over the prior year, excluding the Pediatrics portfolio, which as Matt stated, faces competitive pressures from brands returning to the market. Our Q2 gross margin remained consistent with the prior year at 56.8% and was in line with expectations for the quarter, as Q2 included the expected impact of new product support and other seasonal programs. We expect our adjusted gross margin for the second half of the year to be in line with Q2's level. A&P spending grew almost 11% over last year's level, due to new product support, continued investments behind our core OTC brands, as well as an increase due to the acquisition of Care. G&A, as a percent of sales, was even with the prior year at 6.8% and includes an increase due to the acquisition of Care. We expect G&A to be approximately $25 million the second half of the year. Adjusted net income increased 15.5% and $3.3 million over the prior year, to $24.6 million during the quarter, due to the EBITDA gains, lower interest and tax expense. Our consistent and strong cash flow and rapid delevering is lowering our interest expense, while our tax rate for the quarter reflects changes due to the acquisition of Care and the change in state tax rate that took place on July 1. Excluding the $9.1 million impact related to the change in state tax rates, our tax rate was approximately 36.5% for the quarter. This rate is below our Q1 rate due to lower taxes -- excuse me, due to lower tax rates associated with our Care acquisition and was included in our $0.04 EPS estimate for Care. The tax rate also includes a benefit of approximately 1 point due to the ongoing impact of the state tax rate changes. This impact -- the impact of this will be approximately $0.01 of EPS for the remainder of the year and is included in our EPS estimate of $1.65. We expect our tax rate to be approximately 36.5% for the remainder of the year. Adjusted earnings per share grew to a record $0.47 during the quarter, an increase of approximately 12% and $0.05 over the prior year's level of $0.42. Reported EPS of $0.63 includes a net gain of $0.16 due to favorable changes in state tax income, offset by cost associated with the Care acquisition. The prior year Q2 EPS was $0.38, which included $0.04 of expenses related to the GSK acquisition. Turning to Slide 16, we have our year-to-date results. Adjusted net revenues increased to $311.4 million for the 6-month period, an increase of $2.1 million or 0.7% over the prior year. Excluding the impact of the Care acquisition and the divestiture of Phazyme, organic revenues were essentially flat year-to-date compared to the prior year. Finally, our core OTC brands grew a solid 3% over the prior year, excluding the pediatric brands impacted by returning competitive products. Gross margins increased to 57.5% for the 6 months, over last year's level of 57.1%. Our advertising and promotion spend for the 6 months increased approximately 3% over last year's level due to increased investment behind our core OTC brands and the impact of the Care acquisition. Our adjusted EPS increased a solid 14% to $0.88 for the 6 months, over the prior year's level of $0.77. In addition, our adjusted operating income increased just over 1% for the 6 months over the prior year. This increase is due to the increase in adjusted operating income, as well as lower interest expense and taxes consistent with our Q2 trends. The 6-month period's reported EPS was $1.03, $0.37 or 56% higher than last year's level of $0.66. Turning to Slide 17, we have a reconciliation of reported net income and EPS to adjusted results. As a reminder, our earnings release contains a full set of disclosures about our non-GAAP financials. Reported results for Q2 in the year-to-date period includes the benefit related to the change in tax rates, offset by costs associated with the acquisition of Care this year, while last year includes costs largely associated with the GSK acquisition. Turning to Slide 18, we have a summary of cash flow for the second quarter. Prestige's industry-leading financial profile of high EBITDA margins, significant tax attributes and low capital spending allowed it to continue to generate significant cash flow during the quarter. Business generated approximately $33 million of adjusted cash flow from operations during the quarter, which was $900,000 higher than the prior year. For the 6-month period, free cash flow was $53.3 million, a decrease of $1.8 million over the prior year's free cash flow of $55.1 million. The slight decrease is largely the result of the timing of sales in the second fiscal quarter. We continue to anticipate full-year cash flow from operations of approximately $125 million. This significant and steady cash flow allows us to rapidly delever, even in a quarter where we funded the Care acquisition. As of September 30, 2013, the company's net debt balance was approximately $958 million, and our debt to covenant-defined EBITDA ratio was 4.02x. Turning to Slide 19, we show the rapid delevering progress we've made over the last 6 quarters and a projection of our M&A capacity. On the left side of the chart, we have our delevering progress since the GSK acquisition back in January of 2012. Over the last 6 quarters, we have lowered our leverage ratio consistently each quarter and have reduced it by approximately 1.25 points over the period. Again, we even reduced it by approximately 0.15 points this quarter, even with the Care acquisition that occurred at the beginning of the quarter. On the right side, we show our estimated M&A capacity. Assuming future acquisitions will have a transaction profile similar to the GSK deal, we estimate that we have nearly $1.3 billion of acquisition capacity at the end of this fiscal year, increasing to approximately $2 billion at the end of fiscal '15. At this point, I'd like to turn the discussion back over to Matt.
Matthew M. Mannelly: Thank you, Ron. If everyone would turn to Slide 21. A couple of comments, and then we'll open it up to some Q&A. I think for us, as we look out for the rest of FY '14 and really, even beyond. For us, we talked a lot last year about FY '14 being a transitional year, with the competitive products coming back to the marketplace. I think it's important for us to stay the course during this transitional marketplace and continue to invest in our core OTC portfolio. And to do that through new product launches, supporting it with advertising and merchandising, coming out with new ad campaigns, and as importantly, investing in new product development for the long term. So we continue to do that. I think we're also focused on, just as we have been, on other acquisitions and smoothly integrating this new acquisition into the company, which as I said, has been very smooth to date. I think one of the things that's very interesting and somewhat different for us in this acquisition versus previous acquisitions is our focus on developing organic and an M&A platform for long-term growth in Australasia. So now that we have senior management on the ground in that region of the world, it's allowing us to be more aggressive in terms of pursuing M&A opportunities in that area of the world. I think the second thing that's really important for us and is going to benefit us long term is, as I mentioned, when we announced the acquisition, there's an opportunity for us to integrate and synergize with Care Pharma in terms of our new product development process, and we've already done that, and we're beginning to see the benefits of it in terms of identifying opportunities in terms of new products that can play in different regions of the world. So we're very excited about that. In terms of the second half, in terms of Q3 and Q4, we remain cautious for the second half, given the economy and the retail environment, and we really read and see the same things that a lot of you do as well. You've seen from the major retailers in terms of soft retail and foot traffic, and many -- some of the major retailers have taken down their growth estimates by 50% in terms of -- for the year. And in addition to that, a number of retailers have publicly stated that they're going to reduce inventory levels to help better manage their situation. We had said that, last year, if you'll recall, cough/cold was a record year, and we anticipated this year that it would be down from last year, and it is. Incidences to date are off to a slow start, down 11%. But again, that's off a record year last year. And we also would expect that from a consumption standpoint, from a consumer support standpoint, that those brands that are returning for the cough/cold season would put significant marketing support behind their efforts in the second half as well. And then finally, on the revenue front, given the very strong second quarter, given the retailers' order patterns, we would expect some of that business for cough/cold moved into the second quarter, therefore would move out of the third quarter to repeat into the fourth quarter. So we would see some revenue shifting there as well. And finally, in terms of A&P support, we're going to continue to support the businesses. We're not going to pull back, because we're doing this for the long term. Our outlook for the year, while we're very cautious about the retail environment in general, as a number of people are, we remain confident in our ability to deliver the adjusted EPS of $1.65. We also remain confident in our ability to deliver that ever-important cash flow from operations of $125 million. And as I said at the beginning, for us, it's a matter of staying the course. And if you turn to Slide 22, this is a slide that we've shared in the past as well, and I think the important part of this is twofold. It's all 3 of these areas working together, and it's them working together over the long term. So over the long term, I think we've demonstrated that our core OTC growth exceed the industry average, and you're seeing some bumps right now, which we expected in this transitional year. If you take that with our consistent free cash flow, significant and consistent free cash flow generation, as well as the fact that we have been -- we've proven and have a repeatable M&A process, and in fact, we have an M&A opportunity with Care Pharma that we closed on in this last quarter, that those 3 in combination, we believe will yield 10-plus percent long-term EPS with upside potential as well. So with that, I'll turn it over to some questions. And again, we appreciate everyone's participation.
Operator: [Operator Instructions] Your first question comes from the line of Joe Altobello, representing Oppenheimer.
Joseph Altobello - Oppenheimer & Co. Inc., Research Division: I just want to start with the guidance for this year. I think, Matt, you mentioned $1.65 for EPS. But you didn't talk about the top line. I think in the past, you've said organic revenue kind of flat to up modestly this year, and the headwind from the returning brands about 2 points. Is that still the case? Or do you think that given the headwinds you talked about in the second half, that you could see that number slightly below that?
Matthew M. Mannelly: Yes, Joe, I think that's a fair question. I think, for us, as I said, the important thing is we believe we still will deliver $1.65 in EPS. We believe we'll still deliver that 125 in cash flow from operations. I think from a revenue standpoint, with the revenue, the retail environment that you've seen in the last quarter from a lot of retailers and you've seen in recent announcements, we would expect for the second half, that I would think we would be up slightly year-over-year for the second half. So I believe, last year we did about $315 million in the second half, but that's with some Phazyme, so you'd have to take out about $1 million, and that would take us to $314 million last year. I think this year, we would expect that we would be up on that, maybe 1% or so versus last year for the second half.
Joseph Altobello - Oppenheimer & Co. Inc., Research Division: Okay, but that includes, Care, right? So roughly $10 million of Care in the back half?
Matthew M. Mannelly: Yes, I think there is probably -- I mean, Care, we've said for the year, I'd say there's probably maybe $8 million in Care in the back half.
Joseph Altobello - Oppenheimer & Co. Inc., Research Division: Okay, that's helpful. And then, in terms of the soft foot traffic and the inventory retailer -- or the retailer inventory reductions you talked about, are you actually seeing that happen? Or is that just a response to some of the comments you've heard from retailers and obviously, the press, et cetera?
Matthew M. Mannelly: Well, the tightness on inventory, Joe, I mean, a number of retailers, or the big retailers, have come out publicly and stated it, and they are acting on it. And you're seeing inventory reductions and you're seeing some out of stocks at retailers as a result of it.
Joseph Altobello - Oppenheimer & Co. Inc., Research Division: Okay, so you are seeing it in your categories, I guess, was my question?
Matthew M. Mannelly: Yes.
Joseph Altobello - Oppenheimer & Co. Inc., Research Division: Okay, and just one last one, I guess, in terms of M&A. You mentioned today you've got about $1 billion of capacity. What does the M&A environment look like? It sounds like it's pretty active, there's a lot of things for sale. I'm just curious, is it a buyer's market or seller's market at this point?
Matthew M. Mannelly: Well, again, Joe, we've talked about in the past, our -- one of our key strategies is to be aggressive and disciplined. In terms of the market, I think there's a couple of things that are -- that we're very pleased with. First of all, let's start with North America. I think you've seen, again, I'm not saying anything that's not in public, 2 major pharma companies have said their consumer care businesses are under review, in terms of what's the best way to operate, whether it's internal or external. So that's always a signal to the marketplace that potentially, maybe there's something there. And then I also said here that now by having people -- senior people on the ground in Asia, it's allowing us to actually deliver on being more aggressive and disciplined. So with those 2 things, we're actually quite pleased, just like anything, in M&A, you don't control it, the sellers control it, but we believe over time and based on our history the last 4 years, and based on this marketplace, we believe there is still going to be significant opportunities for us over the next couple of years. Does that answer your question, Joe?
Operator: Your next question comes from the line of Frank Camma, representing Sidoti & Company.
Frank A. Camma - Sidoti & Company, LLC: A couple of quick questions. The A&P spending, obviously, you've been signaling that's going to go higher, and it's higher both on a percentage of basis, and I think the highest it's ever been on an absolute basis as well, and you've called out the obvious reasons why that is. I'm just wondering, do new products impact it more than the competitive threat? Or can you give us like a flavor on that, because I think you called out a number of things, like national advertising on ESPN. I'm just wondering what weighs on it more.
Matthew M. Mannelly: Well, I think, Frank, you hit on, I think, 3 things for us. One is, to your point, new products, you have to invest more in year 1 and year 2. So we do put -- so for example, for us to buy 3 spots on ESPN on national advertising, that's significant investment for us in one afternoon on a Sunday, right? So we are putting significant dollars behind our new product launches. Second of all, we're also, in this competitive marketplace, what we don't want to do, we're very, like I said, we are reconfirming our $1.65, but we're not trying to get to the $1.65 by pulling all of our support, right? We want to continue to invest in the businesses even with these competitive returns. And then the third thing is, and you've covered us now for quite some time, Frank, we continue to increase because we started from what I believe was too low of a brand-building base, and we've continued to march north steadily in terms of investing effectively and efficiently in the business. So those are the 3 things I would say. Does that answer your question?
Frank A. Camma - Sidoti & Company, LLC: Yes, no, no, that's helpful. I was just trying to get flavor for the new product support. The other question is just on the tax rate going forward, is that a permanent shift in the tax rate? I mean, you obviously called it out for the rest of the year. But -- so I mean, I think, long term, we were probably using like 39% effectively of full tax rate. Is that kind of a permanent shift?
Ronald M. Lombardi: It is, Frank. So the 36.5% is our current expectation for the go-forward rate.
Frank A. Camma - Sidoti & Company, LLC: Great, and the final question is, I don't think I've ever seen a positive comp in the Household Cleaning. I mean, I know it's not a strategic focus, but can you just comment on that? Because obviously, 8% still, is pretty significant. So was there something driving that?
Matthew M. Mannelly: Yes, Frank. I think, again, I'll reiterate. Our focus is OTC. We've been very clear with that. In terms of Household for the quarter, that really is merchandising programs. We participate in merchandising programs with retailers every quarter, and sometimes those programs, we may get into programs in different quarters. In this year, in the second quarter, specifically with Chore Boy and Spic and Span, we got in some second quarter promotions that helped that, along with the Comet trends at some of our major retailers.
Frank A. Camma - Sidoti & Company, LLC: Okay, so it's really just a timing issue, it sounds like.
Matthew M. Mannelly: Yes.
Operator: The next question comes from the line of Jon Andersen, representing William Blair.
Jon Andersen - William Blair & Company L.L.C., Research Division: Matt, I guess, I wanted to ask about the competitor returns and the impact it's having on your business. Could you talk a little bit about which brands specifically are being impacted by competitive returns to the market? And if the kind of level of activity you're seeing from those competitors is kind of in line with your expectations or if it's more intense or less intense? And then the second part of that is, with the slower growth in the current quarter from the core OTC biz, how long do you expect kind of that impact that those brands are feeling from the competitive return to persist?
Matthew M. Mannelly: Sure, Jon. In terms of the brands, let me -- I'll try to answer it, and you can tell me if I hit everything that you just said. The brands that are being impacted from competitive returns the most are really -- it's PediaCare and Little Remedies in Pediatrics. And then Gas-X has come back also and has impacted Beano somewhat, all right? But it's really, in Pediatrics, it's Little Remedies and PediaCare that are being impacted. In terms of how long do I think that impact will be and what do I expect kind of moving forward? I think, 2 things. Number one, we are just getting into cough/cold season. So the consumer dollars from those competitors competing in Pediatrics will be coming out now over the next 5 months, and I expect it to be pretty significant. So I would expect -- our trends for both those brands are in line with our expectations and are in line with what we've communicated to everyone for the last 6 months. So it is in line with what we've expected. And as I've said previously, for example, if you take both those businesses, we're up so much for the last few years, even with the revenue loss, we're still going to be up approximately 50% from where we were 3 years ago. But I would expect in the second half that we would continue to see those trends. And in fact, in Pediatrics, one of the major competitors is back with most of its SKUs this year, but it'll be back next season in cough/cold with a few additional ones. I really think the whole major competitive return, and I said this in the past, it's very unusual and very unique. It's going to take 2 seasons for it to play out, to see where all of the brands and private label sort out when all is said and done. I think you're going to see a lot this year, but I don't think the dust will completely settle this season. I think it'll take 2 seasons, and I've said that in the past. Does that answer it, Jon?
Jon Andersen - William Blair & Company L.L.C., Research Division: It does, that's helpful. Just coming back to Household for a minute, the 8% growth in the quarter. Is that consistent with the consumption trends that you saw? Because you kind of commented on merchandising programs, probably, I guess, driving better consumer takeaway. But I just want to make sure that I understand kind of the dynamic between shipments in the quarter and consumption.
Matthew M. Mannelly: No, probably not as consistent with consumption trends, because if you look at Spic and Span and Chore Boy, some of those merchandising programs that happened, don't happen in traditional channels. So it's not captured through MULO. And so consumption trends, for Comet specifically, are decelerating, but they were still down in the quarter. So there's a little bit of inconsistency there. But it's part of it is because some of those brands aren't picked up in the MULO numbers. And that's not just true for those brands, I think we've had this in the past, where consumption doesn't always match factory shipments on a quarter-to-quarter basis. And part of the reason it doesn't match it is, number one, MULO doesn't pick up everything. So as we become bigger in convenience stores, that's not picked up as much. As we become bigger in the dollar channel, that's not picked up as much in the consumption numbers. And I think the other thing I would add to that, Jon, is we also look at consumption over a longer term. So while on any one quarter, it may not match up, [indiscernible] match up over the longer term. So there's probably more of a discrepancy in Q2 on consumption versus shipments. But if you look at it for the first half, you'll see that it's closer. If we look at it over a longer time period, it never matches up quarter-to-quarter. Does that answer your question?
Jon Andersen - William Blair & Company L.L.C., Research Division: Yes it does.
Operator: Your next question comes from the line of Linda Bolton-Weiser, representing B. Riley.
Linda Bolton-Weiser - B. Riley Caris, Research Division: Just circling back on your comments about advertising and promotional spending and the season picking up and competitive dollars will be coming out. You had a nice increase in the quarter of A&P. It was a little bit down in the first quarter, so when I think about the third quarter, I would, just if I had to think about my modeling, I would probably put a fairly -- an increase year-over-year, maybe more so in the third quarter than the fourth quarter. Can you help us with the timing of that investment spending?
Ronald M. Lombardi: Linda, historically, we have seen some seasonality in our A&P spending, and in the past, Q3, I think has been slightly above Q4 level. But consistent with our second quarter year-to-date results, we would expect A&P to continue to increase above sales.
Matthew M. Mannelly: And Linda, the other thing I would add is, and I know you just started covering us in the last year, we typically have higher spending in the second half than the first half. We have for the last several years.
Linda Bolton-Weiser - B. Riley Caris, Research Division: Okay, great. And then another company in the industry had mentioned, well I guess, specifically, that Procter & Gamble had been out of the market for a while in the quarter with some of their NyQuil products. I mean, they're fully back in now, but another company had actually said they thought they benefited from that in the quarter. Did you see any benefit from that in the quarter?
Matthew M. Mannelly: I think, I can tell you our Chloraseptic business, our consumption numbers, are positive. I don't think we've benefited in a significant way from NyQuil, but that category is performing as we expected.
Linda Bolton-Weiser - B. Riley Caris, Research Division: Okay. And then can you just also talk about -- well, you kind of answered it already, but the impact of J&J on your business overall? I mean, you've really highlighted the brands it's in, but just on analgesics, for example, I mean, I think they had some products that came out of the market and then came back in. So I mean, why would say that BC and Goody's, in just regular retail channels would not be affected at all? Even though it's a different product, even a different form, can you just explain again why necessarily there wouldn't be a broader impact on your business?
Matthew M. Mannelly: Well, on BC and Goody's, actually Linda, I think that's a really good question, because BC and Goody's -- first of all, BC and Goody's is fairly concentrated in the South. It has a very rich heritage and equity in the South. And the people who have been using powdered analgesics have been using them for years. So they were using it when those other competitors were in the marketplace or when they were out. So from a switching analysis, those brands aren't big in terms of switching with those brands that fell out of the marketplace. Does that answer your question?
Linda Bolton-Weiser - B. Riley Caris, Research Division: Yes, and then -- I guess that's all I had.
Operator: Due to time constraints, we have time for one further audio question. The question will come from the line of Carla Casella, representing JPMorgan.
Carla Casella - JP Morgan Chase & Co, Research Division: Most of my questions have been answered, but you talked about just the retail slowdown. Can you talk about how inventory levels look in the channel, and if there's any particular, either type of retail or segment of your business, where there's heavier inventory in the channels?
Matthew M. Mannelly: Well, Carla, I think for us, again, this has all been stated publicly. You can see that the mass channel has publicly stated that they're going to reduce inventory, and the mass channel does a fair amount of the business. So -- and they already run on usually decent inventory levels. So that's why, as I said, you're actually seeing some out of stocks in some of those channels and some of those different retailers. I think the drug channel, again, typically runs with a little higher inventory than the mass channel, and I think it's running at traditional rates, so I don't think there's anything unusual there. And the food channel, I think continues to run at the rates that they historically run at. So -- but I would say, I would expect, with the tightening economy, and we've seen it in the past, where the drug channel would tighten up inventory as well.
Operator: I would now like to turn the call over to Mr. Mannelly for closing remarks.
Matthew M. Mannelly: All right. Thank you very much. We appreciate everyone taking the time to join us this morning and we look forward to speaking to you next quarter. Thank you.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect, and have a great day.